Executives: Michelle Jones -  Kevin C. Berryman - Chief Financial Officer and Executive Vice President Noel G. Watson - Executive Chairman and Consultant George A. Kunberger - Executive Vice President of Global Sales and Marketing Andrew F. Kremer - Executive Vice President of Operations Joseph G. Mandel - Executive Vice President of Operations Philip J. Stassi - Executive Vice President of Operations
Analysts: Jamie L. Cook - Crédit Suisse AG, Research Division Andrew Kaplowitz - Barclays Capital, Research Division Steven Fisher - UBS Investment Bank, Research Division Michael S. Dudas - Sterne Agee & Leach Inc., Research Division Jerry David Revich - Goldman Sachs Group Inc., Research Division Robert V. Connors - Stifel, Nicolaus & Company, Incorporated, Research Division Tahira Afzal - KeyBanc Capital Markets Inc., Research Division Chad Dillard - Deutsche Bank AG, Research Division Anna Kaminskaya - BofA Merrill Lynch, Research Division Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division John B. Rogers - D.A. Davidson & Co., Research Division Adam R. Thalhimer - BB&T Capital Markets, Research Division Nicholas Chen Paul Dircks
Operator: Good morning, and welcome to the Jacobs Engineering Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Michelle Jones, Vice President of Corporate Communications. Please go ahead.
Michelle Jones: Thank you very much, Gary, and welcome to Jacobs' first quarter 2015 conference call. With us today is our EVP and CFO, Kevin Berryman, who will present the financial highlights for the quarter; Chairman Noel Watson will present our growth strategy; and George Kunberger, our Executive Vice President of Sales and Marketing, will provide a business overview and end-market outlook. Noel will wrap up the prepared remarks before we take Qs. As you're aware, we issued the press release last night, and it can be found on jacobs.com, along with the presentation we plan to review this morning. As a reminder, statements made in this webcast that are not based on historical fact are forward-looking statements. Although such statements are based on management's current estimates and expectations, which we believe to be reasonable and currently available competitive financial and economic data, forward-looking statements are inherently uncertain, and you should not place undue reliance on such statements as actual results may differ materially. There are a variety of risks, uncertainties and other factors that could cause actual results to differ from what is contained, projected or implied by our forward-looking statements. For a description of some of the factors that may occur that could cause actual results to differ from our forward-looking statements, see our annual report on Form 10-K for the period ended September 26, 2014, and in particular, the discussions contained under Item 1 - Business; Item 1A - Risk Factors; Item 3 - Legal Proceedings; and Item 7 - Management's Discussion and Analysis of Financial Condition and Results of Operations, as well as the company's other filings with the Securities and Exchange Commission. The company undertakes no obligation to release publicly any revisions or updates to any forward-looking statements that are discussed on this webcast. The safe harbor statement can be found on Slide 2 on our webcast presentation. With that, I now would like to turn the call over for some opening remarks to Kevin Berryman.
Kevin C. Berryman: Thank you, Michelle, and good morning, everyone, and welcome to the call this morning. Before I kind of dive into some of the financial results, I thought I would spend just a little bit of time and give you some introductory comments given that this is my first earnings call with Jacobs. A couple of notes. Certainly, I'm very excited to be part of the team here at Jacobs, a recognized, leading company in the engineering and construction space. A couple of comments as to why I'm here and why I am excited. During discussions on the on-boarding process with the board and the executive management team, it was very clear to me that this was a team that was collaborative in nature, that it was a very talented team, and that it operated with a very high level of integrity. So certainly, that was very important to me. But of course, that's probably not sufficient for someone to come to the company. There was a little bit more than that. It was very clear to me also during those discussions that the team was very interested and keen on driving an even stronger performance agenda going forward and longer term. I joined this company because I think I can contribute and help drive the development of that performance agenda, which we all collectively believe is going to add significant shareholder value longer term. A couple of comments about some of the changes that are going on in the company. Clearly, there's been some management transition. We're in the midst of a CEO transition. We're in the midst of myself coming onboard after a very talented man, John Prosser, retiring after decades of service to the company. But I thought I'd make some comments as it relates to the company itself and the talent. Certainly, I want to communicate to you, from my perspective, there has been no loss of focus as it relates to what's going on in this company. I think some of that is associated with the talent that's in the company. Certainly, my initial perspective and ideas about the quality of the team has been, if anything, over -- overly confirmed over my first 3-weeks-plus here in the job. And so the talent of the team is clear, and the talent continues to deliver against its execution plan. Also some of that is driven by the leadership of Noel Watson. I've had the pleasure of getting to know Noel over the last few weeks. It's clear that he has a strong pulse on what's going on in the industry, what's going on with the team, and what's going on with our sales initiatives. And I think that he is providing strong leadership in this period of transition for the company. It is clear that this man has much energy. And certainly, probably more energy than the collective energy of the executive vice presidents in the company. So pretty amazing and very much appreciating the opportunity to spend a little bit of time and work with Noel. What does all of that mean? What it means is that traction has not been lost in this company. People are focused, and they are executing. And I'm feeling very good about where we are in this particular point in time. So let me turn to Slide 4. And in honor of Mr. John Prosser, I will use his same slide in terms of the discussion of financial results. In short, I would say the company delivered a very solid quarter. Earnings per share were at $0.77, up 8.5% versus a year ago. I would characterize the quarter as relatively straightforward in that there was no real drivers, pluses or minus, within the context of that, but there were actually some incremental cost headwinds that we realized and were able to overcome during the quarter. Certainly, some of that was associated with foreign exchange, with the strengthening of the dollar over the quarter that had a slight headwind relative to our earnings per share performance and with the executive transition cost, there were some incremental costs. So if you take those costs together, it's probably $0.03. So our $0.77 reported would have been kind of -- given what we knew 3 months ago -- probably would have been closer to $0.80. Regardless of whether it's $0.77 or $0.80, I would say it's very much in line with the expectations that we had set for ourselves at the beginning of the quarter. So all in all, a very solid quarter. Cash flow remains strong in the quarter. Our net debt figure of $80 million remain near year-end levels, and that is driven by the fact that we had $670 million in cash, which largely offset the outstanding debt by the end of the quarter. I think our strong ending cash position really is a tribute and an indication of the evidence of the strength of the cash flow dynamics of the company because this ending debt position was delivered even as our share buyback program ramped up in its level of activity over Q1. During the quarter, we bought back 2.5 million shares at a total value of about $113.7 million. Program-to-date, we have utilized nearly 40% of $500 million authorization and have spent about $192 million. As it relates to what we're doing now, as it relates to our share buyback, you can assume that we are being more aggressive as we speak with our share buyback program given the level of Jacobs' share price that we see today. Relative to backlog, backlog rose to a record $19.1 billion, nearly up 6% from the year-ago period and also up on the $18.4 billion last quarter. I think this is a rather impressive indication of the opportunity for Jacobs, certainly, when noting headwinds in certain of our end markets. It is a testament to the diversity of our company and the ability for it to have and the ability to grow even when market conditions are challenging. In fact, the backlog growth was in spite of several cancellations that we saw all over the quarter, some of which were not inconsequential. Our sales strength then was able to overcome these cancellations, resulting in a very strong book-to-bill for the quarter of over 1.2 and a book-to-bill of 1.8 (sic) [ 1.08 ] for the trailing 12 months. Before I turn to my comments on outlook, perhaps we turn to Slide 5 and talk a little bit about the backlog. Certainly, through the details on the slide, you can see the increase in the backlog was driven by the professional services area, which bodes well for potential future work for the company. Specifically, professional services backlog grew $900 million in the quarter or nearly 7.5% from the year-ago figure. Finally, some thoughts on our outlook. Clearly, there are some headwinds that we are facing in certain parts of our business. We all are hearing about oil and commodity prices. There's no new news here. And consequently, those are real, and those will create some challenges for our company as we work through some of the challenges that our customers face in those respective end markets. That, combined with some FX pressure that we would expect to see over the balance of the year, assuming that the dollar remains strong and at its current levels or maybe even stronger, and the combination of these 2 things results in us being more cautious in our outlook for the year. We believe it is prudent to suggest, therefore, that our outlook is more aligned with the lower half of our previous stated guidance last quarter. However, and nonetheless, diversity remains a strength of this company. It translates into the robust, record backlog that I have previously talked to. Our cautious outlook is therefore more short term in nature, with Q2 impacted probably more than the second half of the year as we work through realignment of our resources from weaker to stronger end-market opportunities. At the same time, it will be important for us to continue to be diligent and disciplined in the management of our fixed cost structure. We need to do this always. It's a hallmark of Jacobs. And it's important that we do that to ensure that we have the right cost structure to be able to operate successfully in any end-market environment. Before turning over the floor to Noel, a few other quick comments. I certainly am looking forward to meeting all of you, our analysts and our shareholders, in the near future as I continue to finalize my on-boarding process. A lot has been going on. No, we haven't had a chance to speak yet, but I look forward to more intimate discussions going forward. And finally, before turning to Noel, a quick thank you to John Prosser, who has been gracious in his support of me during my transition process. I have been able to benefit from his sage counsel, and it certainly is going to make my job going forward much easier. So John, thank you for that. Noel, over to you.
Noel G. Watson: Thanks, Kevin. Now why don't we go to Slide 6. And kind of we're going to talk about the relationship-based business model, but we'll do that when we get to 7. Kevin talked to some degree about the market diversity. And most of you know I've been around a long time, and it was many decades ago when we decided -- thank you, we decided in the last real bad downturn in the '80s that it was important to be in more than a single market. So over the decades, we have leveraged our diversity both in a wide variety of end markets that George will talk about, and we have also -- have a geographic spread that really crosses the globe. And so those 2 things we're very thankful for today because we do have headwinds in a couple of markets. When I signed on for the job, I didn't dream I was going to have $45 oil and $2.50 copper, but we do. So it is a fact of life, and we have to deal with it, but many of our markets are very strong right now and George will talk about that. The cash position is good. And by the way, in a market like this, it's a good opportunity to drive down cost, and we're going to have to do that. Now when we get done with that, we move to Slide #7, our relationship-based business model. This slide has been around about as long as I have, and it hasn't changed. And it all starts with our relationship model, our drive to service a smaller group of clients, service them well, know their businesses as well as and better than they do and do outstanding performance for them. And when we get that superior performance that comes with understanding them better than almost anybody else will, we get a continuity of business that is staggering. And the trust it builds, and the repurchase loyalty it builds, the lower-cost G&A sales that go with it is a huge strength for our company. So even though Craig has moved on into retirement, nothing is going to change with the model. So we're putting a lot of effort into steady earnings growth and recapturing the 15% that we talk about over the decades. And with that, I'm going to let George talk a few minutes about market diversity, which is Slide 8.
George A. Kunberger: A few minutes, huh? Okay. Well, good morning, everyone. It's George Kunberger. I've met some of you, and I'm delighted to be making my debut here today with my friend Mr. Watson and Kevin. Let's start with Slide #8, which is our diversity slide representation. You've seen this many times before. It's obviously a slide that doesn't change a lot quarter-to-quarter because it's based on a 12-month trailing backlog, so the math just doesn't allow. However, I do want to point out a couple of things. The diversification that it shows on the process side, the number there is about 46%. And for those of you who keep track of these kinds of things, that number was about 48% last quarter on a slightly smaller revenue stream. On the public sector side, that number has increased from about 35% to 37%. That's indicative of a couple of different things. One is the strengthening of public sector market, as Kevin talked about, and a little bit of a headwind impact that we have on the process side, but is more a factor of the fact that as we've evolved over 12 months, it now represents a full 12 months of SKM being in the backlog. And so just the math drives the public institutional side up a little bit. It doesn't necessarily represent the geographic diversification the company has. But as you're well aware, we have the diversification of markets spread out across a wide geographical diversification, so it brings an added value and power through our ability to adjust to these markets. I would say just to -- because I want to use this line. I mean, I've always looked to this picture as a bit of a rose. And it can be a plain rose. But I would say that looking at it through the lens of $45 now oil, it looks pretty darn nice to me right now. So let's move on to Slide #9 and let's talk about these various market sectors. I'd like to start with the public and institutional. As you know, we started showing the backlog within these major market areas down the lower right-hand column. As you can see clearly, the backlog in this particular area grew nicely over this last quarter. That's actually at a rate of about 16% on an annualized basis. I would say this market, I would characterize all of it as being good to strong, both -- and really on a geographical basis. And I'd anticipate looking at our prospect list that this kind of growth will continue on a relatively strong basis throughout the rest of the year, for sure. Going to the individual areas a little bit, I'd like to characterize it like this. All of these areas on this chart, on this page that we have right here, the markets are good to strong in various ways. Just to give you some example. If we look at the defense spending, defense spending has started to stabilize in the U.S. and is ramping up in the U.K. and in Australia. There's some very big programs associated with redeployment of bases in Asia-Pacific, which as you well know, we're very well positioned, both from a relationship perspective, a capability perspective and a geographical perspective to go after it, for sure. If you look at the nuclear cleanup space, that's a growing marketplace both in the U.S. and U.K., and we have a strong resume in both areas and is a marketplace that as you've seen some of our press releases in recent quarters on Sellafield, as an example, we have an opportunity to continue to take advantage of that. The transportation, utility, infrastructure market is good pretty much around the world. There's been a lot of pent-up capacity, as you all know, not only in the U.S. but in the U.K., in the Middle East, Australia, Southeast Asia, really pretty much all around the world. And so while I wouldn't say this is buoyant, off-the-page kind of growth, it is strong, steady growth for sure. Jacobs is well positioned geographically in all of those areas to get after that marketplace. And because of our, I would say, our unique and wonderful business model, as I like to characterize it, we are able to get after that project and move our resources around the world to bring our best resources to bear to capture and bring those -- and capture those marketplaces. In the health care and education, a growth strength, again, not only in the U.S., but everywhere around the world. And then in the area of even like social development, there's a double-sided sword to what's happening in the oil business, and we'll get into the geopolitics of all that. I'm sure you're well aware of them. But you look at the spending that's going on in the Middle East as they try to grow that part of the world on behalf of the citizens of those countries, tremendous amount -- I mean, in the order of $800 billion to $900 billion worth of expenditures planned over the next 5 to 6 years. And again, for the reasons I just articulated, our relationship in that part of the world, along with our capabilities, along with our ability to deliver those resources, really makes it a strong marketplace for us. So overall, I have to say that I'm extremely optimistic about this marketplace. I know it's strong. It's not going to light the world on fire, but it is going to be strong and steady growth as we go through the rest of the year, and I think into the following years as well. So let's go to the next slide, which is what we call our industrial sector or market area, which, of course, has a lot of different factors to it. I'll start with my old favorite, pharmabio. I think as you probably know, there's some exciting things going on in the pharmaceutical word today. New discoveries in the areas of immuno-oncology, which, frankly, are going to make all of us in this room and on this phone call healthy and live longer. There's tremendous discoveries being made there. And of course, that results in real significant capital spending going on, primarily in the Western world, so in the U.S., Ireland, Mainland Europe. And of course, as you well know, Jacobs is a very strong contender in the biological marketplace. And so we're well positioned from a skill set in that perspective. I'll say [ph] pharma companies continue to divest in their distribution of their stable products in developing parts of the world. And as we've discussed many times, we're well positioned to do that. I would say that unlike in the past, the competition is starting to return to this space, to be fair. I guess that they're coming back, away from some of the other marketplaces they've been focusing on for a while. So we are seeing increased competition in this space, which we haven't for a while, but we are capturing more than our fair share of this market space, so that's good. Mining and metals, as Noel articulated, I mean, we are in a depressed commodity situation, and I don't see that necessarily changing for a long time. This marketplace will not be a marketplace that we see much significant growth in over the next couple of years, but that doesn't mean it's not a good marketplace for us. As you well know, we've positioned ourselves to start taking advantage of sustaining capital in this market space around the world. And we're having good success with all the majors in that area, both -- whether it's South America and Australia specifically. Some of the majors who are, frankly, still making money even in this depressed commodity marketplace -- they're not making the money they once made, but they're still making money -- they are starting to at least study potential future expansion projects. It'll obviously -- since it's just in the study phase, it'll be a few years before we really see that translate into major capital expenditures. I mean, overall, the capital expenditure rate in this marketplace is still going down, but it will eventually turn around in a few years out as a result of some of these studies and as the overall global economy changes. So that's good. And then because they're trying to get after better utilization of their spaces, there are a number of key sort of plum projects around the world that are in the brownfield space that are really directed towards improving the utilization of existing assets. And there are a number of those around that we're well positioned to capture, and we're going after those. Pulp and paper and high tech and consumer products. New -- for the newbuild and products in the U.K. continue to be there for us, and we're happy with those. In the area of consumer products, as you well know, those lend themselves to alliance types of relationships. And we are very good at alliances. And those opportunities continue to be available to us around the world. And in the high-tech space, there are a number of key clients. You could just look at who's making money today and who's not and understand that, that's an opportunity for companies like Jacobs to get after it, and we are, for sure. So let's move on to the process world. So obviously, the process world is uncertain, for sure. But uncertain does not make it bad necessarily. Now you really do need to look at the various individual elements of this marketplace to look at it. So let's just start with the upstream, probably the most impacted globally for sure, and let's more importantly look at its impact on Jacobs. Obviously, Canada and the oil sands work is going to be challenged because of the price of oil and the price of getting oil out of oil sands out of the ground up there. But that does not mean that the market has completely disappeared, and that good projects are not going forward, and they are. It's certainly going to be not as strong as it's been for quite some time. In U.S. shale oil business, as you all know, the companies are blowing their horns and moving their resources to where there's more ROI -- as to basins, Permian Basin as an example and the Bakken, but that overall business is shrinking a little bit. But in the midstream, the Middle East and other places in the world, there is still spending going on. Certainly not robust, but not a 0 by any stretch of the imagination. In the refining marketplace, that's a little bit more mixed. There definitely continues to be projects that are focused on improving the overall effectiveness and productivity of individual refineries around the world for some of our major clients. Those projects, some have been delayed and some have not been delayed. Obviously, each one of our clients are going through a lot of examination of their capital expenditures pretty much as we sit here today. But there is still a lot of very good ROI projects in the system associated with refining that are out there, and we're involved in, and we certainly expect them to continue. When you look at areas like ISA 84, which is the process instrumentation-driven safety upgrade. A large amount of money needs to be spent in the billions of dollars over the next few years. We built a strategy in advance to get after this marketplace, and that strategy has translated into some very nice wins already in this quarter. So a very good marketplace for us. And of course, our old sustaining capitalization strategy is always there in these refineries, although we’ll pull back some. We'll need to continue to spend money in the sustaining capital, and we'll be well positioned around the world to get after that. The chemical marketplace, certainly, in our view, remains overall very strong. The impact of the oil prices, the compression of the naphtha price to gas, to natural gas will certainly have some impact on the -- potential impact on the ethane jobs and potential spinoff projects like methanol, et cetera. But overall, the generic chemical marketplace is -- remains very strong in all the areas where Jacobs plays. This has been a market that we have won a number of major projects, some of which we've released, some of which we're not quite free to talk about. And this first quarter has been a big part of the overall sales success that we've had. So I don't see that necessarily changing. There'll be some ups and downs and some starts and stops and projects get reexamined, but overall, that market will be strong for the rest of this year and into the next year. So overall, I'd have to say, I'm pretty darn bullish. And I would just want to point out one other thing. I mean, this growth that we've had over this year -- over this quarter has been completely organic in nature and not impacted by any acquisitions at all and so -- which makes me even more bullish about where we're going.
Noel G. Watson: Thanks, George. Go to Slide 12, guys. I keep forgetting to turn the mic on. I apologize. Slide 12 on acquisitions. Well, we have a history of getting about 1/3 of our growth out of acquisitions. And long term, we'll continue to do that. At this point in time, we're slow doing acquisitions. We're digesting what we have. We're focusing on organic growth. And we're going to be harboring our cash for the next big deal. But right now, the acquisitions are basically on hold. But long term, we do need to make acquisitions to get to double-digit growth. Go to Slide 13, and I'll give you the sales pitch. Our model works. It's good. We will continue with it on my watch. All you have to do is see the kind of relationships we got with many big clients and really the successes we had in faraway places like Saudi Arabia, where we have an extremely strong relationship with Aramco. And you can see the model works, and we're not deviating. Our diversification is a godsend right now. Let's not kid ourselves. If we were 100% in oil and gas, we'd be dead. No we're not. And so with the success we've had in some of the businesses, particularly the chemicals George talked about and then on the public and infrastructure businesses, we don't need to have all 8 cylinders working. If we get 5 or 6 out of 8 working, we do just fine. And we have that working today. The balance sheet is good. We will use the current crisis going on with some of our clients to focus on cost advantage. We will be cutting cost. We're not going to do anything draconian, but we are focusing on getting the cost out of the system to make us more competitive, particularly in the heavy process business where that's going to be a necessity. And with that given, I think we're going to open it up for questions.
Operator: [Operator Instructions] And the first question comes from Jamie Cook with Crédit Suisse.
Jamie L. Cook - Crédit Suisse AG, Research Division: I guess a couple of questions. One, Kevin, you talked about, I think, the second quarter being weaker because you're realigning some resources, et cetera, relative to the second half. So can you talk generally what the cost impact or give more color on how we think about the second quarter versus the first and what your assumptions are for growth in the back half of the year for the acceleration in EPS in the back half of the year? And then I guess my next question is sort of twofold. You guys went through a pretty dramatic restructuring last year. Given the current environment, should we expect something more significant? Can you sort of talk about where you'd be cutting cost? And then I don't know if you can also talk just given the declining crude prices, when you look at your sort of addressable prospect list, how much of that do you think goes away?
Noel G. Watson: You take one and I'll take the other one.
Kevin C. Berryman: All right, Jamie, nice to hear from you. Just a couple of follow-up comments on your question. As it relates to the Q2 versus the balance of the year, I think it really translates into the fact that with the cancellations, we have to realign our resources, and so there is a short-term pressures, until which time, all of that is in place. The restructuring that was done last year, we've been able to deliver against that, and we have embedded into the results the expectations that we originally had in terms of that. So we're not talking about another substantive restructuring, but we are talking very disciplined, very focused, very targeted opportunities to make sure that we reduce our cost in order for us to be successful in any market environment. And certainly, Noel emphasized that as well. So I think the commentary is more about Q2, which probably indicates that seeing EPS growth versus -- in Q2 versus the balance of the year is more difficult, but we won't give necessarily any guidance specifically by quarter but give you a perspective that year-over-year growth in EPS is more challenging in Q2 versus the balance of the year.
Jamie L. Cook - Crédit Suisse AG, Research Division: And I'm sorry, just because you brought it up, and then I guess Noel will answer my second question. How big were the cancellations in the quarter and then where were they? I'm assuming it's across oil and gas but if you could just...
Noel G. Watson: Yes, they were basically in the oil and gas [ph] process industry, and they're about $400 million out of the revenue stream.
Jamie L. Cook - Crédit Suisse AG, Research Division: Okay. I'm sorry, Noel, and then just sort of given -- sorry, my second question, which I know you know. Just how much of the prospect list that was out there? How much do you think sort of goes away? Is it 40% gone, 30%? If you can just sort of give us a feel.
Noel G. Watson: I'm going to let George answer that one. He's got better detail than I do.
George A. Kunberger: Yes, Jamie, you're talking about specific to the prospect list in the process world, is that the nature of your question?
Jamie L. Cook - Crédit Suisse AG, Research Division: Exactly. Exactly.
George A. Kunberger: Okay, yes. So certainly, the prospect list for the second quarter and third quarter outlook, which is about as far as we can legitimately see it well, is very robust, as robust as it's ever been. I would characterize it that way. That being said, certainly, even in the last couple of weeks, we've seen a couple of prospects that we had out there that have been postponed for a long time. Those have been in the areas where I was talking about where -- just, say, like methanol or some of the projects that could get postponed as a result of the compression of naphtha prices and natural gas prices. But on the other hand, the secondary chemical marketplace around the world is very strong and continue -- new prospects, new opportunities continue to come onto that list. So yes, certainly in the upstream, a little bit in the midstream and then the refining area, a little bit of pull back, but -- and the chemical is more than offsetting it, at least right now. And we'll see what happens after these -- all these companies announce earnings if either they're going to go after that, but that's certainly where we see it right now.
Noel G. Watson: And I think another thing, Jamie, in that area. The same resources do a lot of this work, whether it's refining, heavy process, those type of things. And so it's very transferable knowledge.
Operator: The next question comes from Andrew Kaplowitz with Barclays.
Andrew Kaplowitz - Barclays Capital, Research Division: George, so maybe I can follow-up on Jamie's question in the sense that, as we move forward here, is it right to assume that in the current environment it would be more difficult to grow backlog for the company even if your non-process businesses are doing pretty well? Just wondering sort of what you think this year. I know you have a lot of prospects and stuff, but as we're sitting here trying to figure out how to model this company, it seems like it will be more challenging to grow backlog as a company, unless you tell us that the non-process stuff can sort of more than offset process.
Noel G. Watson: Well, what we'd say, Andrew, is this. Right now, as George said, that the prospect list is really good. And so sitting at this point, we expect the backlog to grow. I know with all the headwinds, things could change, but as we look out over the next 3 quarters, we frankly expect the backlog to grow, not shrink.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, Noel, that's helpful. And then maybe if I can shift gears and ask you guys about margin. How do we think about Jacobs' margins going forward? Again, it's hard because we're trying to figure out whether this is sort of your -- a real downturn or not in your process businesses. And if you look at 2008 to 2010, Jacobs' margins dropped about 80 bps during that time. How do you guys compare the current uncertainty today versus what we saw then? And I know you talked about taking cost out. You've done restructuring. So how do we look at margin trajectory this year, next year, whatever you guys can give us.
Noel G. Watson: Well, you know we can't give you a lot, Andrew. Some of the markets that we're in, the oil and gas market certainly, the Canadian market and some of those, the customers are going to be relentless in driving our cost down and their cost down. But if I look at it on balance, I frankly, personally, don't expect to see much of a significant margin reduction this year. That's the way we've kind of looked at the data. Because while George talks about the process business, the margins may come down in refining and oil and gas, but they'll come down some, but the margins in the chemical business should stay strong, and the margins in the public sector business is going to be good. So I am not looking at a drop in the margins on average.
Andrew Kaplowitz - Barclays Capital, Research Division: Okay, now that's great. And then just a follow-up question for Kevin. Kevin, you mentioned a $0.03 impact on the quarter for FX and then some management transition cost. How do we look at the rest of the year for FX? What kind of impact is embedded in sort of the new guide of toward the lower end of your previous range?
Kevin C. Berryman: Well, if I knew what the FX rates were going to be, I probably wouldn't be working here. I'd be on a beach somewhere with an umbrella in my drink. But notwithstanding that, look, the dynamic and the strength of the dollar certainly is having some implications for us in terms of what our reported earnings are going to be. We have some of that already embedded and expected in the outlook that we have provided, but certainly, the dollar has strengthened significantly over the course of the first quarter. So I think what we're talking about is in the neighborhood of $0.05, $0.06, maybe $0.07, $0.08 for the full year. So it's not a huge number, but it is a number that we're going to have to pay attention to and make sure that we drive our operating agenda to ensure that, that effect is minimized.
Operator: The next question is from Steven Fisher with UBS.
Steven Fisher - UBS Investment Bank, Research Division: Kevin, maybe -- can you just help us reconcile the backlog growth in the quarter with the reduction in guidance? I know you've got some FX. I was thinking it was maybe margins, but I know Noel just said margins are going to be flat. So is it timing of the expected burn? Is there some other charges in there? Can you just help us reconcile that?
Kevin C. Berryman: It's pretty simple, Steve, and nice to meet you over the phone. It is really about the burn rate in terms of our ability in the new business that has been booked and our ability to burn it when that starts and how ultimately some of the cancellations impact us in the short term. So clearly, this is something that Jacobs is used to and managing. But ultimately, it's really not about anything other than how the burn is going to go flow through the year.
Steven Fisher - UBS Investment Bank, Research Division: Was it the very long-term projects that have a long burn or that you put some projects into backlog that may not get started right away?
Noel G. Watson: Let me -- I don't think we got anything in backlog that isn't getting started that I know of. Am I right, George?
George A. Kunberger: That's correct.
Noel G. Watson: We don't put. If they're not starting, we're very careful about not putting them there, Steve, but some of these will be a 36-month jobs. And so the burn rate will start in preliminary engineering and engineering and then into the field. And some of these backlog initiatives aren't going to see the field until, what, the middle of '16?
George A. Kunberger: That's correct. And also on the public space, while not all of it, some of the public spaces are long-term 5-year contracts, especially with the federal government. So they have a long burn rate on them. That's more true in the federal space than it is true in the state and local space, where those have the tendency to be more book and burn. So it's a little bit of a balance, but there's some of that long-term stuff in there.
Noel G. Watson: And Steve, the other point I'd like to emphasize is that some of the short term is really oriented around some of the cancellation, not necessarily the burn going forward. So you get $400 million of cancellations, you got the project teams in place, and when those cancellations come through, you have to be proactive in making sure your costs get realigned.
Steven Fisher - UBS Investment Bank, Research Division: Great, that's helpful. And then you guys have always highlighted in your slides the cost savings that you deliver for customers. I guess I'm wondering at this point, what are customers asking you for at the moment? I mean, are they asking you to find step function increases in cost savings? And how hard is it to find those savings at the moment to kind of bring costs in line with a much lower oil outlook?
George A. Kunberger: Yes, this is George. Well, so what they say is they want institutional changes that help them improve their overall capital efficiency, but what they ask for is lower pricing. So a little bit of both as the lower pricing is easier -- well, it's not easy to respond to, it's easy for them to ask for it. The institutional changes and how they execute their work and their capital efficiency is really where the answer is. And so they really are, in fairness, looking at both of those things, to be honest with you. The short-term impact, of course, is putting pressure on us to lower our prices, but they're also trying to figure out how to be way more efficient in their overall capital utilization for sure. So a bit of both.
Operator: The next question comes from Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Welcome aboard, Kevin. First question for you, Kevin. Can you talk about maybe for the rest of 2015 fiscal year cash flow expectations? Are there any big working capital drains or additions that you may see? And should we continue to see continued strong cash performance, net, of course, of not anticipating any share repurchases, but prior to those types of spending?
Kevin C. Berryman: Sure. A couple of comments. First, the operating cash flow characteristics of the company remains strong. And I think that one of the areas that we are, will be and have been focusing on is on the accounts receivable side. You'll get the Q, I think, over the course of the next few days, but you'll see in there that our accounts receivable were basically in line with previous levels. And it's certainly an area that is a big investment in our company, and we need to make sure we continue to be diligent and drive that number down. That's a focus in the company. So hopefully, we'll be able to see some improvements from that perspective over the course of the year. As it relates to other uses of cash, really, CapEx is not a big number for the company. Acquisitions, we're going to be, I would say, thoughtful in that process, as Noel suggested. So -- but we still have the flexibility to execute against that. And the balance of the operations are well on hand. We expect to see good cash flow. And of course, we will be -- at current share price levels -- more aggressive on the share buyback.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Thoughtful is a very good word, I think.
Noel G. Watson: He said it better than I did.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: You've taught him well in 3 weeks, Noel. For Noel or George, looking at the company, going into the last peak of '07, '08, you had Motiva, you had some big projects there. You, in your recent trip to New York and Boston, you talked about how you focus on the small cap projects, going where people aren't. Is that going to be beneficial as you ride through this cycle that we're seeing in energy? Not just in your energy work, but overall that will allow you to generate the better performance maybe in this cycle than maybe you did in the last cycle?
Noel G. Watson: As you know, Mike, and as you've known us well over the years, we're going to continue to focus on mid-cap sustaining work, those type of things, and we got the system working really hard at that. And there's going to be a lot more of that work around than there is the elephants. I think we know that. There's going to be some elephants offshore, but there aren't going to be many onshore. And so that kind of plays to our strength. It means it's going to be a dog fight because competitors are going to come down and want our piece of the pie. So they're going to come after us like gangbusters, but we are well positioned. And so I would say that, right now, I think you used the word downturn, we're not classifying this as a downturn. We got headwinds. We got some markets that are really strong, Mike, and we think they're going to carry us through quite nicely.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: I guess that would be one differentiating from where you're -- in 2015 versus exiting 2008 or '09 given the acquisitions you've made and your geographic positioning, correct?
Noel G. Watson: Yes.
Operator: The next question comes from Jerry Revich with Goldman Sachs.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: Revenue burn really accelerated in national programs in the quarter. I'm wondering if you could just talk about the major programs that drove the year-over-year pickup and what the cadence for revenue burn looks like from here.
George A. Kunberger: National burn, you're talking about public and institutional in general?
Jerry David Revich - Goldman Sachs Group Inc., Research Division: So national, specifically, national government.
George A. Kunberger: Yes, the national government. Well, I'm having a hard time understanding where you get that data exactly. The national government business for us has been stable. That's for darn sure. And our building sector ties into the national buildings business, definitely been uptick-ing. And I'm getting help here from Andy Kremer who's been responsible for that. Andy, why don't you just go ahead and answer.
Andrew F. Kremer: Yes, I mean, a part of what we're seeing is reflected in the FNS acquisition, George, which has had a significant contribution this quarter.
George A. Kunberger: Right. Thanks, Andy.
Noel G. Watson: We needed to get help, sorry about that.
George A. Kunberger: That's okay. That's why we have a team. Yes, did you understand Andy's answer about FNS?
Jerry David Revich - Goldman Sachs Group Inc., Research Division: So the year-over-year growth in national government program revenue was driven by acquisitions?
George A. Kunberger: Well yes, the FNS -- go ahead, Andy.
Andrew F. Kremer: We had -- FNS was a significant contributor. That was a fair-sized acquisition, and it caught [ph] into afterburners this quarter. It's been a terrific result for us.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: And then for downstream, given, I guess, the change in cadence due to cancellations, can you just talk about how you expect the revenue burn to shape up over the course of the year? Based on the prior comments, it sounds like second quarter looks like the first quarter, but maybe you can provide some more color and then talk about, is there visibility on a pickup in the back half in downstream revenue burn specifically?
Noel G. Watson: Hey, Gary, you want to talk about it?
Joseph G. Mandel: We announced a major award in the downstream space. As Noel said, we will go from early engineering, and it'll be towards the middle of next year before we start going to the field and doing a lot of procurement. But when we see these cycles like this and you see our clients starting to cut some jobs and reduce cost, historically, that's been favorable for us. We've picked up market share with this brownfield work and the sustaining capital, and we've been seeing that. We've been really focusing on that, and so you should see a steady book and burn with the exception of some of those major projects that are 3, 3.5 years long.
Jerry David Revich - Goldman Sachs Group Inc., Research Division: And then maybe lastly on chemicals, maybe you could just touch on the cadence of that. Sounds like you have visibility on revenue burn accelerating over the course of the year, but maybe, Gary, you might be willing to flesh that out for us a bit more?
Joseph G. Mandel: Well, again, we're in the sustaining capital and brownfield, both on refining and chemicals, a large part of our business. The small cap project, it's our sweet spot. And so with the exception of the big CapEx projects, it's pretty consistent as well.
Operator: The next question comes from Robert Connors with Stifel.
Robert V. Connors - Stifel, Nicolaus & Company, Incorporated, Research Division: I just wanted to get a sense of when we'd start to see the benefits of the cost reductions take hold and whether you expect that to pass to the bottom line or will most of it be passed on lower prices on projects.
Noel G. Watson: Well, we like to say it's all going to go to the bottom line, but that's probably not right. I think what we're going to see is a combination. Certainly, in some of the areas, particularly the big oil guys, they're going to pressure us for price reductions, and we may have to give a little bit. What we do believe is some of these cost reductions will go right to the bottom line. Now whether it's 50-50 or 70-30, I'm just not that smart.
Robert V. Connors - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then, it's not only commodities falling, but I suspect a lot of craft labor rates will also come down quite a bit too here in North America. And this is positive in the long run for future downstream projects. But are you being asked right now to redo any of your downstream FEED work to account for what is going to be some coming slack on the oil patch?
Noel G. Watson: Gary, I'm going to give that one back to you.
Joseph G. Mandel: As Noel mentioned earlier, some of our skill sets are transferable, and so we are starting to shift some of those resources from the oil patch to our sustaining capital business in downstream. The projects that are underway in the field, they're not canceling those. They may slow down the rate of spend with those construction resources, but they're not getting canceled as much as the projects that are in the study phase or the FEED phase. But long term, it should create some lower pricing, but it's still a tight marketplace. There's a lot of craft shortages out there, and it is escalating. So it's going to be tight for a while.
Noel G. Watson: So it would be your position, Gary, that the craft labor rates are not going down?
Joseph G. Mandel: They're not going down in the short term.
Operator: And next question comes from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: So I guess, the first question I had was, when you look at revising and putting out a cautious outlook, from my experience, clearly you've seen some cancellations, but in essence, it seems even if you are more on the front-end side tends to be the later cycle. So how did you go about the process based on the feedback you started getting from some of your customers and you sort of extrapolated on that or have you actually tried to go through your prospects and really see what is likely to get pushed out or canceled?
Noel G. Watson: Well, I've got to be really honest with you, Tahira. I'd say we did a lot of detailed work and then we threw a dart, to be very honest with you. I mean, it's that kind of task as we tried to nail down the forecast and figure. And we finally decided we can't because there's too many moving pieces right now. And remember, we're only a couple of months into this decline. And so where it's going to land, where it's going to stop, how long it's going to be. I've got the Vice Chairman of Chevron sitting here with me, and he kept telling me to generalize. And I think the real question is, how long? And by the way, he's not smart enough to answer that, so I'm certainly not. So I think that's how we got at it. I mean, this was not a precise exercise. We tried to make it, and we couldn't do it.
Kevin C. Berryman: Tahira, I would augment that to -- basically, the collective -- with some of the team, we've had a lot of discussions over the last 3 weeks, and I think Noel is entirely accurate in his representation of, there's been a lot of key variables that we need to keep track of as it relates to what the momentum is in our business in certain end markets, and look, we feel comfortable with what we're telling you. Certainly, could it vary from what we're talking about given the dynamics in some of the end markets, of course. But we're going to be diligent most importantly in terms of our management of our fixed cost structure, which will allow us to be successful in any of the environments going forward.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Got it, okay. And so Kevin, the second question is for you. Number one in regards to that, is the low end of the guidance then what you think is -- does that incorporate the worst-case scenario on the macro side that you came up with? And then number two, you're clearly coming from an industry, different industry with hopefully some new insights as well you can bring on the cost-cutting side. So I would love to get some sense of what you think could be brought in that's kind of new on the cost side as well.
Kevin C. Berryman: Sure, the question. Three weeks in, I would tell you that it has been very exciting to jump in with both arms and legs to learn the business in. I certainly feel as if I'm getting a good grasp of some of the core tenets of the business and some of the challenges and some of the opportunities. I do believe that, collectively, the team is having a good pulse on what's happening in the market and things that we might want to be considering in terms of driving improved levels of performance. I would tell you, it's too early for me to give you any serious and discrete things that we will be talking about in the future, but I do believe there are opportunities. And it's certainly why I came in my opening comments, and I think the team believes the same. As it relates to the guidance, look, it is what it is. We are comfortable with that at this particular point in time, and we will update it as we give more information over the course of the balance of the year.
Noel G. Watson: Tahira, that's John's way of saying, we're not going to give guidance within guidance.
Operator: The next question comes from Vishal Shah with Deutsche Bank.
Chad Dillard - Deutsche Bank AG, Research Division: This is Chad Dillard on for Vishal.
Noel G. Watson: Could you speak up a little bit? We're having a hard time.
Chad Dillard - Deutsche Bank AG, Research Division: So how much revenue in 2015 has already been booked into your backlog? And then also, could you give us a color on your mix between service or maintenance projects versus book-and-burn projects?
Kevin C. Berryman: So just a quick comment, I would say, roughly, the number is 65-ish percent, and so we feel pretty good about the momentum behind some of the backlog that has been communicated in some of my comments and George's as well.
Chad Dillard - Deutsche Bank AG, Research Division: And then can you give color on the breakdown of your prospect list between process and then non-process opportunities?
Noel G. Watson: Yes, George, take that will you.
George A. Kunberger: Yes. I know, absolutely. So in the process world and balancing the process in, say, public and institutional, it's, I'd say, slightly favored, but only slightly favored in the public sector. And then when you would lump in the -- with the process world, the other sort of related process industries, like pharma, et cetera, it's probably a 50-50 balance right now.
Operator: The next question comes from an Anna Kaminskaya with Bank of America Merrill Lynch.
Anna Kaminskaya - BofA Merrill Lynch, Research Division: My first question was just around your cash balance, how much is it in the U.S. and how much is internationally? Just thinking about just how much cash capacity you have to -- for buyback in the second quarter or do you have to finance it with the free cash flow or maybe add a little bit of debt on your balance sheet. And how much would you be comfortable in carrying in terms of leverage?
Kevin C. Berryman: Hi, Anna, nice to talk to you over the phone. Look, much of our cash is outside of the U.S., but we ultimately have the ability to bring cash in to certainly fund what we expect to be doing as it relates to our share buyback. So we're not feeling incremental pressure as it relates to that. In terms of the leverage factor going forward and where are we comfortable. Certainty right now, at a net debt level that's approaching 0, we're certainly not overlevered by any stretch of the imagination, and we're comfortable that we have the firepower to execute against any acquisitions that may occur, even though we will be thoughtful relative to that and any share buyback work that we're executing against.
Anna Kaminskaya - BofA Merrill Lynch, Research Division: Great. And then if I think about the mix impact on your margins maybe longer term, let's say, public outgrows process, would that be margin dilutive? I know you probably don't disclose margins by segment, but how should I be thinking about the mix impact on your margins longer term?
Noel G. Watson: Well, we're not smart enough. This is Noel again. We're not smart enough to know the difference. We don't think the mix impact is going to be measurable.
Anna Kaminskaya - BofA Merrill Lynch, Research Division: So you think your margins are somewhat comparable between process and public?
Noel G. Watson: Well, when the mix comes down, and it's all over the world, yes.
Operator: The next question comes from Andy Wittmann with Robert W. Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Just looking at the trajectory of field services revenue over the last few years, we saw it starting to ramp up. And in this quarter, it's down. Looks like it's down organically year-over-year. I guess just from the cycle point of view, you guys made it clear that you don't think the cycle is over, but where are we in the cycle? Are we reentering a period where we're going to stay in long periods of FEED and not make investment decisions that can lead to the field services construction work? Some of your thoughts around that, I think, would be appreciated.
Noel G. Watson: Hey, Gary, do you want to try that?
Joseph G. Mandel: I think probably one of the biggest reasons for the decline year-on-year is we had a very large field service presence and business in the oil sands that's been reduced somewhat with the CapEx reduction. It's somewhat offset with our growing focus of maintenance services, both targeted at turnarounds and brownfield work. But in terms of taking it from FEED to construction, it's pretty much the same ratio we've been experiencing for the last year, 1.5 years. These are large projects, and they take a while to get through the engineering phase and the procurement phase to mobilize the construction. It's probably going to be the same. Although you'll see incremental growth in our maintenance business, we are taking market share. We've announced some, and there's others that we can't announce, but we are growing the number of sites that we're providing maintenance on.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: But it sounds like if oil and gas or the upstream in the sands is an area that was a big contributor is falling off, does that mean that the overall shift between field service and TPS now then favors TPS? And then does that have a possible -- positive implication on the margins do you think going forward?
Joseph G. Mandel: I would say that while the oil sand spend, the CapEx is down, there's still a lot of sustaining capital work there. So we have a significant presence. Plus, our focus is to taking more and more sites within the chemicals and refining. This is happening. So it will be the same more or less mix that we've had. It's not going to be a huge shift. We're redeploying those resources.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got you. Okay. One of the questions that was touched upon earlier was some of the federal contracts being longer in duration. I think a few quarters ago the Sellafield one was one of the more notable contracts you guys had booked. At the time, I think the funding level of that contract was not fully funded or it was substantially unfunded. Has the funding for that work been coming through? And are you doing work on that one today? Curious on your thoughts on that one.
Noel G. Watson: Phil, go ahead.
Philip J. Stassi: Yes, this is Phil Stassi. Yes, the funding for that project is here, and there are some additional ones. Sellafield is very active. Those projects are not only planned, but most of them are funded. And as you probably know, we've invested pretty heavily in Sellafield opening a new office and did an acquisition of a maintenance and construction contract there. So we're getting ready for the load there and the work is funded for the most part and is lining up.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got you. And the second quarter comment that the year-over-year growth might not be very significant. Was that based on the adjusted EPS of $0.82 or was that based on the GAAP EPS of $0.63? I just want to make sure that we're clear on that one.
Kevin C. Berryman: Thankfully, it's the adjusted number.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Okay. Had to make sure. And then just a final question here for me. We're over a year now with SKM. That was a big acquisition. Thoughts on where you stand today and have you been able to deliver revenue synergies or has the outlook for revenue synergies offset acquisition starting to materialize today?
Noel G. Watson: Yes, let me answer that. Yes, we view SKM as a big success. Obviously, they had a big mining business, and it's being impacted by the $2.50 copper and all of that, but the infrastructure side of the business is singing [ph]. And we have been able to do a fair amount of synergies. We have a pretty good airport business in North America and the U.K. And what we've been able to do, we've been winning airport work right and left in Australia recently. So we view that as a big success. And there's still things to do in terms of the integration. And that's not totally complete, but it will complete this year.
Operator: The next question comes from John Rogers with D.A. Davidson.
John B. Rogers - D.A. Davidson & Co., Research Division: I guess, first, George, you talked about the various end markets, but geographically are you seeing a big divergence in your customers' response to the market?
George A. Kunberger: In any major particular market sector, are you asking or particularly process?
John B. Rogers - D.A. Davidson & Co., Research Division: I guess more on the -- probably on the process side and especially Europe, Middle East, but also the industrial side?
George A. Kunberger: Yes, I think that's a very good question. And that is accurate. I mean, if you go around the horn, I mean what's happening in Canada is very different than what's happening in the Middle East relative to this marketplace, dramatically different, right? And so and then if you go to Southeast United States, which is predominantly a lot of chemical business and Northern Europe, which is chemical, as well as some upgrading of efficiencies within refinery. So yes, it is different geographically in how the clients are responding to it, for sure, for different reasons. I mean, what Saudi Aramco does versus other major oil companies, have different motivations behind their capital expenditures and why they're doing these projects. So yes, it is quite different for sure. And fortunately, we're positioned well in most of those plays.
John B. Rogers - D.A. Davidson & Co., Research Division: And how would you characterize those differences?
George A. Kunberger: Well, okay, so I mean, I think the oil sands business, I think we all understand. I mean, oil prices are down. And if you look at the Middle East, the Middle East can pump oil out of the ground much more cost effectively than other places in the world. They have a lot of social infrastructure ambitions that they need to fund and want to fund on behalf of all the citizens in that part of the world, so they'll progress with projects in order to drive those -- that development regardless. And I won't get into other geopolitical considerations, it's beyond my scope of knowledge. But I think you'll understand what I'm talking about there as well, but yes, very different.
Noel G. Watson: Yes, I think even if you go into Morocco, where we're just finishing about $6.5 billion worth of work, and we got another big phase starting, that work is moving forward nicely. And so the demographic issues or geopolitical, however you want to name them, are very different across the world.
John B. Rogers - D.A. Davidson & Co., Research Division: Okay. And Noel, can you give us any update or comment on the CEO search?
Noel G. Watson: Well, I'm wondering when you were going to ask that. I'm having too much fun, and we canceled it. No, that's not right. The reality is, we've started. We're having weekly phone calls. We're getting into the meat of really getting on with it. And so I would say, by the next phone call, which is 3 months from now, we ought to be pretty well complete. I hope so anyway.
George A. Kunberger: But he is having a lot of fun.
Operator: The next question comes from Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I wanted to ask one more question about guidance just to make sure I'm clear. Because you talked about Q2, not a lot of year-over-year growth, which implies kind of an acceleration in the back half. And I'm curious what's driving that, is it the backlog growth you had in Q1?
Noel G. Watson: Can you get that?
Kevin C. Berryman: Certainly, that's part of it. The very strong level of sales, bookings that we had in Q1, kind of the strongest sales level that we had in, I don't know, probably 6, 7 years would be my guess in that quarter. So very, very strong. And so that will ultimately allow us to finish stronger in the year than the beginning of the year. So that's certainly a part of it. And then the other part is what we've already talked about in cancellation of some of the projects and the realignment of resources back against where we're seeing momentum. And that just puts some pressure on the short term. The other dynamic is, we are going to be reducing our cost structure, our fixed cost structure to recognize some of the headwinds, and that will kick in later in the year as opposed to earlier in the year. All of those things add up to the commentary and the kind of directional guidance we've given, and that's basically it.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Okay, that's helpful. And then the only other question I had was just on, what are you hearing from your -- on the infrastructure side, what are you hearing from your people in D.C.? I mean, is it time to get excited about a highway bill or some kind of solution on that front?
Noel G. Watson: Do you want to try that, Andy?
Andrew F. Kremer: So the -- yes, the answer is yes. We're seeing recovery on the transportation front in a number of areas. One, the improvement in state budgets, as well as a little bit more certainty in the budgeting process in Washington with the midterm elections behind it.
George A. Kunberger: Yes, but also just with cheap gas and people driving more. I mean, the dollars per gallon that goes into the federal coffer stays the same, and so there's more money going in. So whether they get a transportation bill passed or not, there's certainly more money going into their coffers which is getting spun back out into these projects around the countryside.
Noel G. Watson: Yes, I think you got to remember, if you go look at the budgets within the individual states, they're up fairly dramatically over the last 3 or 4 years. So even here in California, our governor found a way to have a lot of money to spend. That's -- we taxpayers don't like that, but that's a fact. As a business, we do.
Operator: The next question comes from Robert Norfleet with Alembic Global.
Nicholas Chen: This is actually Nick Chen for Rob this morning. Great. So I know we touched on it a few questions ago, but I just wanted to go back to the SKM integration. I was hoping you could give some more details around the restructuring. Number one, how much of the cost savings were realized in Q1? And then also what sort of annualized run rate for these savings should we expect?
Kevin C. Berryman: I don't think that ultimately the cost savings were disclosed in the discussion relative to the restructuring, but we have realized our run rate at this particular point in time in Q1. And we expect that run rate to continue through the balance of the year. If you look at our SG&A cost in the quarter, it was really driven by a full quarter SKM in the numbers, and effectively, our restructuring benefits were able to offset all of the other inflationary costs and other dynamics that we have to manage in a $13 billion company.
Nicholas Chen: Great. That's really helpful. And also, in terms of the downstream markets, I know that we talked a little bit about it before. I was wondering if you could give some more details in terms of refiners spending in order to comply with the new T3 standards.
Noel G. Watson: George?
George A. Kunberger: Yes, well, so we've been talking about Tier 3 spending for quite some time, and it hasn't, as you well know, manifested itself fully as we anticipated. That was primarily because of delays in the compliance space that a lot of these refiners were able to take advantage of, as well as being able to trade credits off. So it has been pushed out. We've worked on a lot of those projects in the study phase and some actual projects, but it will just be more stretched out over the next 2 to 3 years. And so the aggregate of the concentrated spend that we once anticipated. But I'd say, it's been offset by the ISA 84 spending for sure, and -- which I think in the long run is actually going to be a greater amount of spend, and we're even better positioned to do that work quite frankly.
Operator: The next question comes from Paul Dircks with William Blair.
Paul Dircks: Just briefly here to follow-up on the SG&A expense in the quarter. I know you guys had mentioned that there were some management transition costs. Were there any other drivers of that dollar amount which is actually above what we had anticipated ourselves? And also how should we expect the trajectory in an absolute-dollar basis of SG&A expenses to go over the balance of fiscal year '15?
Kevin C. Berryman: Well, I'll reemphasize what we just talked about. Really, the driver to SGA was the full quarter impact of SKM for the first quarter of 2015. As you recall, SKM came into the portfolio of Jacobs right near the end of the first quarter last year. So that really is the driver to the figures. We don't give specific guidance as it relates to the SG&A numbers going forward. But clearly, we're going to be taking steps to ensure that we're disciplined in the management of those costs, again, because we want to make sure that we're going to be able to be successful in any environment which we're going to need to be competing.
Noel G. Watson: Hey, guys, we're going to have to terminate. We've got a board meeting we've got to go do. We've got people standing in the hall. I'm sorry we can't answer all the questions, but Kevin is here, and he'll take all your questions. So just give him a buzz, okay. We thank you for all your interest. We're excited about what's going on. We feel good about what's going on, obviously. We're a little disconcerted about some of the unknowns, but we're going to power through all this. So thanks again and have a good day. Bye now.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.